Operator: Good afternoon. Welcome to BrasilAgro's Third Quarter 2017 Results Conference Call. Today with us we have Mr. André Guillaumon, CEO, and Mr. Gustavo Javier, Administrative Officer and Investor Relations Officer. We inform that today's webcast is recorded and all the participants will be here into teleconference during the presentation of the Company. Next, we will begin the Q&A session. [Operator Instruction] The audio is being presented simultaneously on the internet at www.brasil-agro.com, where you can also find the slide and the PowerPoint presentation. Before proceeding, let me mention that forward-looking statements are based on the beliefs and assumptions of BrasilAgro management and on information currently available to the Company. Thus also based on our information currently available, they involve risks and uncertainties because they refer to future events and therefore depend on circumstances that may or may not occur. Investors should understand that conditions related to macroeconomic scenario, industry and other factors may affect the future performance of BrasilAgro and lead to results that may differ materially from those expressed in these future considerations. Now, we'd like to turn the conference over to Mr. André Guillaumon, CEO, who will begin the presentation. Mr. André, you have the floor.
André Guillaumon: Well, good afternoon, thank you very much for your presence. We will use the same lines that we have used in the last call for results bringing accounting information that was relevant during this period. I'd like to call your attention Q4 highlights that happened in this quarter, we ended with a net revenue of R$77.7 million and this with a net income of R$6.1 million and year-to-date nine months. And to highlight that we already informed through material fact that it's a good opportunity to be with you and to be available also to clarify the business, and also the progress of these two new investment project of the Company. First of all, I'd like to talk about the acquisition of the property in [São Raimundo, Maranhão] worth R$100 million in an area of 17,600 hectares of which 10,000 are mature arable and also a partnership in 15,000 hectares in sugarcane with a long-term contract 15 years. I would also like to comment our highlight of sale that company is always transforming areas buying assets that have interesting business opportunities and then we sell. So we always follow this. These are the pillars of the Company and in this quarter we have the sale of a small surface in our Araucária unit. We will give you more details. In the next pages, there will be a case study of this investment as a whole, but it's a small surface 274 hectares but which has great value, 274 hectares was sold for R$13.2 million. So we were able to surpass 1,000 bags of soybean per hectare. Going down to Page 3. As always, I want to talk about the price scenario. So we began the year – our fiscal year, we began with price levels for soybean a little higher than we are ending. As I said, we are monitoring not only the price of soybean, but we are monitoring also the price of input. And during this – especially now in this quarter, we monitored also the contribution margin in each units. So, it is a different situation. We have a new harvest now with prices that are much lower than the one we had had in the last few months, and basically Q2 the positive results of domestic production. We have a super production in the U.S., for 180 million tons Brazil, also Argentina above 55 million tons, all of this contributed for the market. To have a lot of offer and there was pressure on price and the prices dropped a little. But I would like to say that what's generates revenue in our business, in agro business in Brazil's production. So we are concerned. We have lower prices but the increase is in productivity will bring more capital to our business. We will have producers that are capitalized with more money due to the results in the last year, the last few years, and this should have really an effect and a boom in the markets. We have noticed some changes in this scenario where the lower price and higher production from farmers, so the market well. Although, we are getting ready to go into another harvest that 2017, 2018 inferior 2016, 2017, I believe we will be in a better markets in terms of transaction with good results that farmers had in the last campaign. I'd like to remind you that the last drop came recently. I imagine most of the producers had most of their soybean already sold. On Page 4, we don't have much news. This is what we do, do a follow-up of this scenario and we share that the assets with – like the Company is not recovering as it should. The prices – and the prices were lower. There were smaller increments, nominal, but these are increments that one again show that this asset is robust due to this productivity in the market. And also the farmers with cattle due to good productivity, we hope to show in the next slide that the market should get a little better. Going on to Page 5. I'd like to detail to you the acquisition of São José Farm, which was very important for the company and to leave with you an update of this operation. An acquisition in the month of January, and it is already there ready. And this week coincidentally, we are beginning the harvest of sugarcane in this operation. So, this operation brings to the Company a change in terms of level in results, which will allow us to be very aggressive in transforming and generating value for the shareholders. Due to the expectation of the return of this asset, it was bought at a discount price but in parallel to the assets. The partnership contract will allow us to get important operational results for the Company in the next few years. It is a partnership that will generate value, both for the seller of the units and also for the shareholders of the Company. An update on of how we are, we have a team. The team is working, investments began to be made in sugarcane planting. Last week we were getting close to 2,000 new hectares being planted. And with good quality of quality planted area, and I believe this is fundamental because we are suppliers of sugarcane, so we have a very productive operations. We are finishing the planting, and I believe we will be able to do this in May. The harvest will begin in this week, and we hope in the next call to confirm our expectations concerning productivity in this unit. Now, apart from the beginning of the harvest, sugarcane is a very important activity for the Company. We began harvesting sugarcane in the Midwest and we are now ending the harvest of grains, soybean. Later on we will give you more details. Well, I believe that this is [indiscernible]. And now I'd like to talk about Araucária an important transaction, Araucária Farm. This farm was acquired in 2007, 9,700 hectares and at the value to R$70 million. And here I'd like to call your attention, that here that we have a great care in recording our assets. This are when we brought it, it was made up of a plateau area, very good for agriculture, an intermediate area, a transition area where you are not at the height of the plateau, but you are also not on the lower part and also the lower part with more sand. We were careful to allocate this and to record this with the different amounts being recorded in accounting. I will tell you why we do this. Imagine if we buy a farm that has an agricultural potential of 10,000 hectares and I paid an amount. When I paid this amount, of course the point that was developed was more expensive in the transaction. Now, when we record the part that was already ready developed, it will be recorded at a higher price as we paid in the transaction and the parts to that is not ready at a lower price. We did the same in this asset at Araucária. It already had part with grain. This was recorded as agriculture and there was a part that was pasture, it was recorded as pasture. So it's important for you to understand that our company is an investment and divestment company. So when it makes sense, we buy land and I'd like to make clear the composition of this assets. Now Page 7 please. Here, we have the current transactions. So, in May 2013, we sold nearly 310 hectares considering the plateau areas that we recorded at acquisition by R$3.8 million and it was sold for R$10.6 million, so R$10.3 sorry, and here they were sold with 800 bags of soybean per hectare. These 800 bags presented 35,000 per hectare. In the next year June 2014, we sold another area 913 hectares, also plateau within accounting value of R$10.7 million and we made this sale a larger area at with 805 bags of soybean per hectare, R$43 million and approximately 45,000 per hectare. In the last deal that we made in March 2017, surpassing 1,000 bags per hectare, the grains sold 66,000 per hectare. Although these assets are already appraised, they continue to have gains and we continue making their rate of return. Well, now, here I would like to highlight, we will see all the numbers of the Company in this quarter and the last sale was not recorded due to the delivery that will happen as soon as we harvest. So, the results of Q3 are not including the gains of the last sale. Now, going on to Page 8. I would like to show a little I believe that everyone who knows BrasilAgro knows that we transform land and this is the case that has a mixture of appreciation and deprecation due to good purchase. We hope this will happen. This area, as I said, had 9,500 hectares, we have the remaining area of 7,800 and the composition you can see on the light green, we have 50% plateau. Today we are 40% plateau. The intermediate area versus plateau and this increase and we slow some of the areas. What I'd like to stress is that if you remember, it was an acquisition at R$70 million. Page 6, our evaluation of this asset on June 30, was R$141 million, so if we add the sales and the value, so we will have a total value of R$206 million which shows the value generation of R$136 million. It was important to share to you because the last transaction was an asset that was developed and here we'll see an example on the asset that is developed. We were very efficient in generating value for the shareholders of the Company. Well, now later on, I can answer questions. Operating performance. This is the result, which is the result of the Company. The market is coming from a year with positive rainfall and also we benefited from this especially in the state of Vice. So, on Page 9, I placed here the history of the rainfall in November December January. We had rainfall below the historical levels of the region but in the critical phase for in February and March, we had rainfall above the historical average of the region and this contributed enormously for our success and production, and then we will see this in number, soybean should close around 15%. We are a transformation company, so we have areas that are better, but we should be above 15% more than what we expected to be produce soybean. We trusted number because we have 93% of the harvest concluded and this allows us a lot of accuracy of the results. Corn, you can see 42% concluded. That's good accuracy. We also believe according to our estimates of productivity that it is above our estimates and we have a tremendous challenge to really avoid the impact of what is happening in the price of corn. Soon corn, the price allowed us – we were able to sell at a good price. Sugarcane, once again, I'd like to remind you that we're an important player. We have planted here almost 30,000 hectares, 29,698 hectares which will give us a harvest in 2017. And we began the harvest in the Midwest that was two weeks ago. And this week as I mentioned we are beginning the harvest in the [indiscernible] unit. Pasture, I'm open to questions, we continue to making progress and here we see once again that pasture for us is a tool for transformation without adding volatility. It's a way to continue generating value for the shareholders. Transforming here without compromising the results of the Company's pasture area, soon will be converted to agricultural farm land. Now, going on to Page 10 before passing the floor to Gustavo, here we have the hedge position. On May 03, for the Company we have 100% of soybeans sold future and U.S. dollar also fixed 100%, and for the future we have here already 78%, 22% will continues to be sold. 78% was sold. At the bottom, we can see the price levels the Company worked with. We were able to work at $9.94, almost $10 per bushel, very different from the market today which will allow us apart from expressive gains and with the increase in productivity and expressive gains in the price in relation to our estimates, not as high as productivity, but we should have the price increase of 5% to 7% in terms due to the strategy we had in the past. Now, I'd like to pass the floor to Gustavo Javier. Our Administrative Director and also our Investor Relations' Officer to talk about the accounting numbers, and then we will come back and we will be available to answer your questions.
Gustavo Javier Lopez: Thank you, André. Thank you to the participants to be with us. And let's go to Page 11, EBITDA and adjusted EBITDA. Here we present to – we have the upper parts and we have the adjusted, we understand this is the best way to demonstrate the results. We have the inclusion of results, and including the sale, and also EBITDA until then it was not consolidated, now we are beginning to have consolidated results. And by June 30, we will conclude this and part of this we have also on December 31, we have defined to have a new company where we will transfer some assets, especially cattle raising, land and inputs, and thus we'll have consolidated numbers. Now, we continue with the properties and other assets. And by June 30, we believe we will conclude these plans. We considered the operational EBITDA and it was recorded here and now we included in this table. Now, we looking at the nine months, we have here on the upper table, we have R$241 million and it's important to highlight that we had a gross profit of R$18.9 million, and this includes all the effect. And later, we still have the risk of not being able to sell as well as we would like. So, we took a picture of this on March 31, estimating quantities and also estimating price of sales. And we got to a value as a result of a discount rate and for this year we – it is year embraced it with positive harvest and you can see on the lower table where – as of the harvest that is being concluded. It is progress the harvest. We will have this better result. Certainly, we have an adjusted results of R$12 million. This EBITDA on June 30 we estimates will be positive. Concerning sugarcane, the sugarcane [indiscernible] the Midwest, we are having an important cash flow and we will have the results of the sales of grains also. On the next page, for the nine months we have the profit R$6.8 million, last year we had R$24.2 million, R$25 million, but reminding you that the previous year we had an important inventory of soybeans, we did not have this year because of the bad harvest last year. And therefore, we had an operating results of R$5 million, and low productivity. And we did not – we can see here the cash. This generated relevant financial results, and part of this capital is invested in U.S. cash because U.S. dollars because we thought the price of the U.S. dollar, which grow even higher. So this lead us a result that is expressive. This year, we have more inventory and the harvest is one where we expect a good results here this year. And the financial results, we already use the cash for the acquisition of São José Farm. We're making investment, transforming, buying capital and – so we have great expectation that would result, the results will be captured in the next quarter. Now Page number 13. Here we can see the balance sheet on March 31. Our cash, here we can see here based on June 30, 2016 we can also see here investment, the line four investments and financing will continue up with R$54 million in the short term and with a good rate. 90% of the solid interest rate and we are working with BNDES National Development Bank and we should really be able to get [indiscernible] R$4 million in the next quarter. Here we see the cash position we see the grain, the fill of the grain also from sugarcane. Here we see the numbers and also the farm that was sold. On Page Number 14, we have a graph with AGRO3, the price of shares during the last three months. Thank you.
Operator: We will now begin the Q&A session only for Investors and Analyst. [Operator Instructions] The first question comes from Juan Pedro Suarez from Bradesco Bank. Mr. Jean you may proceed.
Juan Pedro Suarez: Good afternoon. Gustavo, André, I have two questions. In reality, first I'd like to understand better, this partner shipping the state of [indiscernible] and whether you've seen increases. I'd like to know your condition, also if you could talk more about the sugarcane operation in Midwest? We have talked to some companies and we see that the climate is more dry, so I'd like you to talk about the productivity in Q2 of the drought?
André Guillaumon: Sure. Thank you for the question. These are basically three questions. I will try to talk about the partnership and then the climate and sugarcane in the Midwest. First question partnership. What is this partnership, what are the objectives of this partnership? This was an asset 25,000 of hectares of arable land and the company bought 10,000, and we made a partnership contract in the remaining 15,000 hectares. What we have? We have a partnership to supply sugarcane with Agroceres which is based on the important economic. We have irrigation cost. We have a partnership with Agroceres where we have a premium on the price of sugar cane and an important point there as a result of the geographic location. It's anhydrous alcohol, so there is an additional gain, a region that has hydrated anhydrous alcohol. So, it's a partnership with volumes that will grow as the years go by. This year 850,000 tons and it will reach 1 million, close to 1.2 million tons of sugarcane in this unit in the future. If prices were there is a premium because of our additional cost of irrigation. But it's a very productive farm. Lot of soleus, very structured land, earth and we are using the – we are using the techniques that we use in the Midwest. You are invited to get to know out units Maranhão, Araucária and [indiscernible]. The good soil, altitude a little lower, but with soil with soil with good characteristics. So, the partnership conference, we will supply for 15 years through cycles with the possibility of renewing this supplying sugarcane to the sugar mill and also the premium when compared to the price in Sao Paulo. And I'm not an expert on climate, but we – when there is climate change, we are concerned to phenomena El Niño we know what happened. We have a different concentration in relation to La Niña. This year we had La Niña changing. So, a year of El Niño, the region in the North and in the South suffered less. There were concerns that we believe that El Niño will not be that strong for the time being or during a follow-up phase and in the next call we should have more details. The Pacific and the North, you can see that's going to be an intense El Niño, intense activity or an they'll deal with a moderate activity. What I can tell you based on our experience every year, we have that we have when El Niño or La Niña are not very severe, we have good years. Now concerning the Midwest, the mix has also mixed in the South and look at Midwest, Sao Paulo South of [indiscernible], this Midwest where we're located is a region where it took more time for rains to arrive. The rain was a little late, but a lot of rain during January and February above our expectations for these months for rainfall. And something that hurt us during the plantation phase. But in general, we believe that our estimates for productivity in this region are very close and variation of 1% to 2% in relation to last year. We don't expect great reduction. When we look at the market, it's important Trump to make a comment, the sugar and alcohol market is being penalized for long time. So, we have really invested as necessary. So, when you take a year, when you have adverse effects of the climate with old plantations, you may have an event, you may have an effect. When we look at the opposite to South, reduction from 620 million to 580 million, it's important to say that the harvest that we concluded in 2017 began with enhancement of 40 million and these had not been processed due to economic uncertainties. Here was the reaction of the market that are being crushed. So, they will not have the 38 million tons of sugarcane that were not crushed last year. So, now, there are 6 million to 8 million tons. So, we should purge, so what is happening here in this region. You are having 30 million being crushed and we see also a plantation that where there haven't been many investments in the last few years 590 million tons, so we are not that effective. We crushed all the sugarcane we had last year and we are preparing out reform plan for the land, because we have productivity indices that allow us even in the years with low prices, we have interesting results and so now, we continued betting on this activity in the company. I hope I have answered your questions. I believe that when we analyze where we will the capital we have we always search for acquisitions that will help the company. So, although we have the possibility of capturing more in the future harvest, this activity in the 15,000 hectares of sugarcane will give the Company a quantum leap in cash, allowing us to continue with our development plan. Soon, what we're doing in the Midwest, we see that within the Company, operationally, we have the ability of the technical capacity to run risk in this type of operation and we crushed – it is a challenge to the Company. So, during the next few months, we understand that this will bring an impact on our balance sheet.
Juan Pedro Suarez: Thank you. Also a follow-up question. This – what is the renovation rate in the sugarcane plantations?
André Guillaumon: Well, the average age of our sugarcane, I will talk about the Midwest. We have two operational units at [indiscernible], so as I mentioned these are very fertile plateau areas 4.2 in one, and average age of 4 in the other. If you ask me the ITO, the ITO programazation of 20% a year, that would be the ITO. Why don't we do this? Because we have the good surprise, the areas in plateau had good performance. When you plan it gives more production during the first, second third fourth year and we've seen that in the plateau areas in the Midwest even in Northeast, we have a drop in productivity that is lower than in other areas. So, we still have many benefits to continue with the plantations for six, seven years. We have some with eight cuts, eight harvest with a good productivity. So, our drive to reform is not age, but the productivity. One productivity goes low to 60 tons, than we began to really renew the plantation.
Juan Pedro Suarez: Okay. Thank you.
Operator: [Operator Instructions] There are no more questions. Now we pass the floor to Mr. André Guillaumon for his final comment.
André Guillaumon: Well I'd like to thank you all. Thank you, Juan for the questions. We hope you have clarified to you. We will be here for our Annual Presentation and I believe that the company will delivery very robust and consistent results this year both in terms of acquisitions, this is proven and also in terms of sales of assets and in parallel to this also a restructuring that was done in the operational part allowing us to have cultures that will decrease volatility, crops that decrease volatility and basically through capital raising and leasing in the northeastern area. Sure, the Company will continue with its aim to deliver results, will continue working to purchase assets and also the sale when we believe it's the time to divest. Thank you for this opportunity and we're available through our area for Investor Relations. Thank you
Operator: The teleconference of BrasilAgro is now concluded. We thank you for your participation.